Operator: Thank you for joining Silgan Holdings fourth quarter and full year 2008 earnings conference call. Today's call is being recorded. From the company today, we have Tony Allott, President and Chief Executive Officer; Bob Lewis, Executive Vice President and Chief Financial Officer; Adam Greenlee, Executive Vice President of Operations; and Malcolm Miller, Vice President and Treasurer. At this time, I would like to turn the call over to Mr. Miller. Please go ahead.
Malcolm E. Miller: Thank you. Before we begin the call today, we would like to make it clear that certain statements made today on this conference call may be forward-looking statements. These forward-looking statements are made based upon management's expectations and beliefs concerning future events impacting the company and therefore involve a number of uncertainties and risks including but not limited to those described in the company's annual report on Form 10-K for 2007 and other filings with the Securities and Exchange Commission. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in the forward-looking statements. With that, let me turn it over to Tony.
Anthony J. Allott: Thank you, Malcolm. Welcome everyone to Silgan's 2008 year-end earnings conference call. I want to start by making a few comments about the achievements during the year, Bob will then review the financial performance for the full year and fourth quarter and then Bob, Adam and I will be pleased to take any questions. As you've seen in the press release, 2008 was another strong year for Silgan with record revenues and income and strong free cash flow. We again achieved double-digit earnings growth with adjusted net income increasing over the prior year by more than 11% to $3.69 per diluted share. While there were challenges in 2008 for all, we believe the performance of each of our businesses in the face of these challenges provides insight to the strength of the Silgan business franchise. Among the milestones for 2008, we achieved record net sales in excess of $3 billion and record income from operations. We improved operating performance in each of our businesses. We generated free cash flow of $181 million. We improved our leverage ratio under our credit agreement to a level under two times. We continued the consolidation of the global vacuum closure industry with the acquisitions in Spain, China and Brazil. We invested approximately $123 million in capital to support growth and productivity improvements and deliver attractive returns in each of our operating businesses. We maintained SG&A as a percentage of sales at low levels despite significant inflation over the year. And we increased the annual dividend to $0.68 per share. In summary, we believe Silgan has continued to demonstrate the strength of its sustainable competitive position. And our adherence to our core business and financial disciplines has continued to serve us well. We remain committed to strengthening these franchises by investing to enhance our capabilities, working to provide best value products to our customers and ultimately to deliver high returns on capital for our shareholders. As you can see in our growth outlook, we believe we are well positioned to do so again in 2009. With that, I'll turn it over to Bob.
Robert B. Lewis: Thank you, Tony. Good morning everyone. There is no question 2008 was full of challenges for both Silgan and the broader market. We saw extreme volatility in the raw material markets, energy costs whipsawed throughout the year, the credit markets all but collapsed and certain of our product categories were impacted by consumer spending patterns. Each of our business franchises rose to these challenges, stayed focused on the core fundamentals and collectively delivered record earnings and strong cash flows during this very difficult economic environment. As important, we find ourselves well positioned for the coming year. On a consolidated basis, we broke the $3 billion revenue threshold for the first time in company history. Net sales for the year were $3.12 billion, an increase of $198 million or 6.8%, largely as a result of higher average selling prices due to the pass through of higher raw material and other costs, favorable foreign currency translation and increased volumes in the metal food container and closure businesses. Foreign currency benefited net sales by approximately $25 million for the year. We converted these sales to net income for the year of $131.6 million or $3.44 per diluted share compared to 2007 net income of $122.8 million or $3.22 per diluted share. After netting out rationalization charges which we believe provide the best comparison of operating results, comparable of adjusted earnings per diluted share increased 11.1% from $3.32 to $3.69. Foreign currency was a headwind to earnings in the fourth quarter and full year, due to the short-term volatility of the Canadian dollar and the Polish z&#322;oty during the fourth quarter. This impact is reflected in our SG&A expense. Interest expense declined $5.8 million, primarily due to lower market interest rates. This benefit was partially offset by higher average borrowings as we maintained higher revolving loan borrowings in response to our cautions concerning the credit crises. Our 2008 effective tax rate of 35.7% is generally inline with expectations and reflects an 80 basis point improvement versus the prior year. The current tax rate reflects the benefits of certain non-recurring state tax incentives and the research and development credit recently renewed by Congress. Offsetting these benefits was the valuation allowance against certain tax positions in Turkey. Full year capital expenditures totaled to $123 million, which is in line with our expectations, but notably lower than the 2007 spend of $155 million. Our 2008 capital spend was distributed across each of our businesses as we invested in a combination of growth opportunities and cost reduction initiatives in addition to our ongoing maintenance capital. Additionally, we paid a quarterly dividend of $0.17 per share in December. The total cash cost of this dividend was $6.5 million. And for the full year, we returned $26 million to shareholders in the form of dividend. Consistent with last year, we have included a reconciliation of net cash provided by operating activities to free cash flow in the press release, marked as Table C. As outlined, our free cash flow for 2008 increased $63.2 million to $180.7 million before dividend. The primary drivers of the increase were reductions in working capital, despite significant inflationary pressures, lower capital spending and improved earnings. This free cash flow was used for the net financing activities of $75 million, including the repayment of $94 million of term debt to pay dividends of $26 million and to fund acquisitions of $14 million with the excess reflected in our year-end cash balance of a $163 million. While we chose to pay down our entire domestic revolver at year-end, given our ongoing caution regarding the credit markets, we continued to hold sufficient cash to meet our peak seasonal working capital needs. I'll now provide some specifics regarding the financial performance of our three business franchises. The metal food container business recorded net sales of $1.790 billion, an increase of $105.9 million versus the prior year. This increase is primarily due to the effect of the pass through of higher raw material and other inflationary costs, as well as slightly higher unit volumes. Income from operations in the metal food container business increased $10.9 million to $162.2 million for the year. The increase in operating income was a result of continued cost control and manufacturing efficiencies, lower year-over-year rationalization charges and slightly higher unit volumes. These benefits were partially offset by a negative cost impact as we substantially reduced inventories in the fourth quarter of 2008. Net sales in the closures business increased $67.6 million to $682.8 million, driven primarily from increased unit volumes due the inclusion of the international acquisitions completed earlier in the year. Favorable foreign currency translation of approximately $23 million and the impact of higher average selling prices resulting from the pass through of higher raw material costs. These benefits were partially offset by weaker demand for single-serve beverage products. The income from operations in the closures business decreased $6.4 million to $59.8 million in 2008, primarily due to higher rationalization charges associated with the decision to cease our operations in Turkey and consolidate various administrative positions throughout Europe, as well as the significant cost inflation. Ongoing cost controls, improved manufacturing efficiencies and improved unit volumes, partially offset these costs. Net sales in the plastic container business increased 3.9% or $24.5 million to $651.9 million in 2008, primarily due to the effect of higher average selling prices due to the pass through of higher raw material costs, partly offset by a decline in unit volumes. Operating income increased $4.6 million to $54.8 million for the year, largely as a result of rapid declines in resin costs in the fourth quarter and the timing of the corresponding customer pass through. Ongoing cost control and strong manufacturing performance partially offset cost inflation and declining unit volumes, which had a percentage decline in the low single digits for the year. For the fourth quarter, the company reported earnings per diluted share of $0.64 as compared to $0.52 in the prior year quarter. Both the fourth quarter of 2008 and 2007 include rationalization charges which negatively impacted earnings per diluted share by $0.05 and $0.03, respectively. After excluding the effect of rationalization charges, adjusted earnings per diluted share increased to $0.69 as compared to $0.55 in the fourth quarter of 2007. Sales for the quarter increased $57.8 million versus the prior year, driven primarily by the effect of passing through a higher raw material costs in the metal food container business, and in the metal portion of our closures business. Our metal food container business had a mid single digit percentage increase in unit volumes, as certain customers may have purchased inventory ahead of the 2009 steel inflation. Our closures business suffered from unfavorable foreign currency translation of $7 million and both the closures and plastic container businesses experienced slight volume declines in the quarter. Income from operations for the fourth quarter of 2008 improved $4.3 million over the same period in 2007. The improvement in operating income was largely a result of the delayed pass through of rapid resin declines in the plastic container business, which improved $12 million versus the same quarter a year ago. Offsetting part of this improvement was the negative year-over-year comparison in the metal food container business, was declined $4.7 million in the quarter. Strong unit volume growth in the metal food container business was offset by further tin plate steel inflation in the quarter and the negative fixed cost absorption as a result of significant inventory decline as volumes benefited from the customer buy ahead. Turning now to our outlook for 2009. While the economic outlook is difficult, we continue to believe the diversity, strength and stability of each of our franchises benefits us in the face of such a challenging environment. We currently estimate adjusted earnings per diluted share for 2009 to be in the range of $3.75 to $3.95, which excludes the impact of rationalization charges. These results would represent a 4.3% increase to the midpoint and a 7% increase to the high end of our range against the strong performance in 2008. Reflected in our estimate for 2009 are the following. We are forecasting a similar mix of products sold in the metal food container business with volumes expected to be flat to slightly improving. First quarter volumes are expected to be softer as we believe there was a fourth quarter 2008 buy ahead. A return to more normal inventory levels should also benefit the year. The closures business is expected to experience volume declines as we continue to expect erosion in the single-serve beverage market. Unit volumes in the plastic business are expected to be stable as new project awards are offset by general demand weakness while lower year-over-year resin costs will result in decreased net sales in the plastics business. Operating profit is expected to improve in the first quarter of 2009 as a result of the continued lag effect of resin declines while full year operating profit is expected to decline modestly as the lag pass through of these resin declines is expected to be less favorable than in 2008. We expect continued benefit from cost reductions and productivity programs across each of our businesses. Incremental pension expense will offset a portion of the earnings across each of our businesses. In addition, we expect interest expense to decline versus 2008 as a result of lower interest rates and lower average outstanding borrowings. We currently expect our tax rate to be consistent with 2008 and also, we expect lower capital expenditures in 2009 as we keep a tight reign on spending. As previously discussed, our normal range of capital spending is $110 million to $140 million. We currently expect spending for 2009 to be at the low end of this range. We are also providing a first quarter 2009 estimate of adjusted earnings in the range of $0.65 to $0.75 per diluted share excluding rationalization charges. Given our current outlook for 2009, we expect free cash flow in 2009 to be consistent with 2008. The primary drivers are improved earnings and lower capital spending, offset by higher working capital and incremental pension contributions. I would direct the free cash flow target to a range of $150 million to $200 million as the timing of year-end steel payments and customer collections can have a meaningful impact on working capital at any given point in time. We continue to seek disciplined opportunities to reinvest in our business while optimizing our free cash flow generation during this uncertain credit market. That concludes our prepared comments. So we can now open it up for questions and answers. Lena, would you kindly provide the directions for the Q&A session?
Operator: (Operator Instructions) And we'll go first to George Staphos, Banc of America.
George Staphos - Banc of America Securities - Merrill Lynch: Hi everyone, good morning.
Anthony Allott: Good morning George.
George Staphos - Banc of America Securities - Merrill Lynch: Congratulations on the year.
Anthony Allott: Thank you.
George Staphos - Banc of America Securities - Merrill Lynch: First question, can you give us a bit more basics on what was happening with food can margin in the fourth quarter? And if you were seeing increased demand, why were you shipping out of inventory? Why wouldn't you have just produced more, which would have absorbed more of that fixed cost? And I had a couple of follow ons.
Adam Greenlee: Hey, good morning George, it's Adam. You are right, we did see relatively strong revenue in the fourth quarter from the food can business. And that growth was primarily driven by unit volume in the food can business of an increase of just over 6% versus the prior year. At the same time, to your point, we were pulling back on production at year end because we had not seen the significant volume increases prior to that point in December. So we were pulling back on our production volumes, which, the increased sales drove more overheads through to the P&L. And in fact, we saw about a $20 million decrease in finished goods inventory for the food can business. In addition to that, we also saw further inflation in tin plate costs for 2008 that we recognized in the fourth quarter. So really, this is a timing issue. The increased sales volumes, not only do they come in the fourth quarter, they came in truly in December.
George Staphos - Banc of America Securities - Merrill Lynch: Okay. And I am just a little curious with the raw material cost pressure that you sighted, why wouldn't that have normally been just captured in your normal pass through? I mean you are setting your selling prices relative to your steel costs. Is it just a function of perhaps you had bought some metal at a higher price planning for 2009? Obviously, tin plate prices are going up, but your selling prices hadn't yet adjusted for the fourth quarter volume?
Adam Greenlee: Well I think what happened as you look at our tin plate costs for 2008, number one, our costs came in essentially where we expected them to over the course of the year. So, again, there is a timing issue versus the full year and what we traditionally true up in the fourth quarter, both with our suppliers and our customers from a tin plate costing standpoint.
Anthony Allott: So, I think George, it's Tony, I think the more relevant comparison, if you are thinking margins et cetera, is really to look at full year margins. The fourth quarter is being kind of whipsawed by two things: it's being whipsawed by the inventory, the fact we filled the sales by the inventory, be it the reasons Adam said, which had a better than $5 million impact on the quarter and the fact that essentially you've got... you are working on true ups of your steel cost against the customer pass through, but all of which gets passed through on the year, but it's not always perfect in the quarter.
George Staphos - Banc of America Securities - Merrill Lynch: Okay. Okay. A couple of last ones and I'll turn it over. You mentioned that we should expect modest earnings improvement within food can, paraphrasing, but if you can give us a bit more clarity in terms of what the drivers will be. I remember... seem to remember that it's related to mostly productivity. And then did you guide on what you expect for closures EBIT for 2009? You had mentioned what you expect from plastic containers.
Robert Lewis: Yes, George, first of all, on the food can side, essentially what you are saying is that we are... because we are going to have so much inflation coming in, that's going to give us a headwind, if you will, on the margin rate, obviously, having no bearing on the actual operating profit coming through. Against that, our expectation is that we will continue to have strong operating performance, we will continue to benefit from some of the plant closures that we've done over the last year or two. And so mostly, it will be an operational-driven improvement against that that we are believing will give us a little bit of improvement, flat to some improvement on that rate. But certainly on the dollar drops here, we are looking for improvement next year.
George Staphos - Banc of America Securities - Merrill Lynch: Got you.
Robert Lewis: On the closure side, you essentially are going to have a couple of things going on. One is we are anticipating that you'll have continued challenges on the single-serve beverage volume side.
George Staphos - Banc of America Securities - Merrill Lynch: Right.
Robert Lewis: So our expectation is essentially that you'll have... that will be a little bit harder for us in that we will more or less offset that. And we are not really clear whether on a rate perspective what happens here. But essentially, we'll be working to offset that with the operating performance that we anticipate during the year.
Anthony Allott: I should note also, we did expect some inventory drawdown in the closure business as well. The metal side also had some pull forward we think. And so you get some benefit of the fact that that won't recur either next year.
George Staphos - Banc of America Securities - Merrill Lynch: Okay. Thanks for the details guys, I'll turn it over.
Operator: And we'll go next to Chris Manuel, KeyBanc Capital Markets.
Christopher Manuel - KeyBanc Capital Markets / McDonald: Good morning, gentlemen.
Anthony Allott: Hey Chris.
Robert Lewis: Good morning, Chris.
Christopher Manuel - KeyBanc Capital Markets / McDonald: A couple of questions for you. First of all, I think in the press release I read you were anticipating flattish or similar food can volumes for 09 versus 08. Can you help us a little with how you would foot such a strong trajectory and what appears to be some of your customers having some up volumes and a little bit with the anticipation for 09? I would have anticipated I guess a little bit of growth there.
Adam Greenlee: Chris, this is Adam. And there is a significant amount of data at this point that supports the idea that the food can should be seeing the benefit from the current economic situation. As we've continued to talk about, restaurant dining occasions are down. We have seen increased supermarket and superstore consumption here late in the fourth quarter. And anecdotally, if you look at some of our key markets like soup and some of our key customers, you will see some strength on the go forward basis. So we feel pretty good about a slight increase to our food can volume for 2009 as we sit here today. But the uncertainty of the current economy is a factor that we are just not clear on at this point.
Anthony Allott: I think also, just add to that the fact that we are seeing a portion of the fourth quarter sales are buy ahead that we think will impact the early part of next year. By the way, on that I want to note that we certainly didn't want... didn't encourage our customers to buy ahead. It's not in our interest for that to occur. So... and not all of this is buy ahead. It's pretty clear when you look at kind of the areas where the growth was et cetera. Some of this looks to be kind of underlying strong performance. So we are not trying to say everything was buy ahead, but it looked to us pretty clearly like some of it was buy ahead that we couldn't really prevent.
Christopher Manuel - KeyBanc Capital Markets / McDonald: Okay. So could you help us maybe quantify those and the metal fruit and within the plastics? What the... it's called unusual activity from be a resin gain and your price cost was mismatched and the plastics and what... the slower production and the pre-volume might have impacted you in each of those segments?
Adam Greenlee: Sure, we'll start with plastics. If you look at the improvement in plastics that we saw in the fourth quarter, the majority of that improvement did come from price declines and resin and the lag passing through of those costs to our customers. So there will be a residual benefit that we'll see in the first quarter of 2009 as we continue to pass through mechanism. And we'll also say we are starting to see some inflation now here in the first quarter of 2009. So that benefit will be offset by a bit of headwinds as we look at the resin markets going forward. To jump back to the food can business. As Tony said, we had about roughly $10 million of non-recurring cost to the quarter. And as we look at the inventory component of that, we'll face slightly more than half of that value will not repeat in 2009 as it will be a not a determent in 2009 as it was in 2008.
Christopher Manuel - KeyBanc Capital Markets / McDonald: Okay. Thank you. And one last question I had was on the free cash flow. It looks like you had a new category that you brought in and I think was scheduled to see a change from how you presenting it in the past. Bob can you or maybe give us a little color there what is the checks help for payment stuff there?
Robert Lewis: Yes, essentially the way we reflect held checks in our cash flow statement is that they get recorded down in financing activities which is to largely due to the fact that we ensure a balanced account. So any outstanding check is treated as a borrowing if you will. But given that sensing we just had less checks outstanding at the end of the year. And the checks are out, we treated them as a paid essentially for the year. So, we think it's a better reflection of the treatment of that by looking at the free cash flow meted that change in outstanding checks.
Anthony Allott: So, these are just outstanding checks for the quite of the ordinary payable cycle. And because we do amounts of zero balance accounts in our statement of cash flow, the accountants put it down as a financing item, not as an operating item. And so for our purposes we are saying, as we think about cash flow, we think it's relevant to the entire cycle of cash flow.
Christopher Manuel - KeyBanc Capital Markets / McDonald: Okay. And at year end, I know I it's tough to look ahead at year end 09, but was that unusually big this year? When we look back at last year, I think it was only $7 million or $8 million.
Anthony Allott: Yes, keep in mind Chris that that's the change on a year-over-year basis that you are seeing there. So this year was a bit of what I'll call an audit where we had far or less checks outstanding. But essentially it's all just timing as to whether it's reflected in the outstanding check number or it's up in the operating section for changes in working capital in this case payables.
Christopher Manuel - KeyBanc Capital Markets / McDonald: Okay, thank you.
Operator: And we'll go next to Claudia Hueston, JPMorgan.
Claudia Shank - JPMorgan: Thanks very much. Good morning.
Anthony Allott: Good morning, Claudia.
Robert Lewis: Good morning.
Claudia Shank - JPMorgan: You mentioned higher pension expenses. I mean if you can just put some numbers around that and then maybe what your expectations are in terms of discount rate and rate of returns for 09? Thanks.
Robert Lewis: Sure. Well, essentially let's talk about what 08 brought us. I mean we came into the year with roughly $400 million of assets. Assets' performance was down about 18% on a year-over-year basis. What that means for us is incremental pension expense of 15 to $18 million that will probably lead us to additional incremental contributions in the neighborhood of 10 to 15 million. And that's over and above the 11 million or so that we spend this year or that we contributed this year. In terms of our assumptions for next year, we are looking at a discount rates that's... its blended between the plans, but a blended rate of about 6.3% and a rate of return that 8.5%.
Claudia Shank - JPMorgan: Okay. Thanks very much. And then just looking at your guidance for the first quarter, if we think about from high end versus the low end, is it mostly volumes that's sort of driving that difference or is there something else as we think about sort of low end versus high end?
Anthony Allott: That's a good question; there is quite a bit. Certainly, volume would be one of it. I mean how much is buy ahead and how quickly does that? If so, does it influence? But there is also... there is quite a bit moving in terms of inflation and price pass throughs and in some cases, of course, remember, that we actually have to go by price increases. Our can business has pretty efficient pass through; that's not necessarily as true across the board. So there is quite a bit in that first quarter. And also I'll remind you that seasonally, Q1 and Q3 tend to be less strong quarters and as a result, the EPS swings a lot more because you've got a lot of fixed costs sitting there against how much volume comes through.
Claudia Shank - JPMorgan: Okay. And then just finally on the pre-buy issue, where are your inventories now versus sort of where you would want them to be at this time of year?
Anthony Allott: I think in the can business and in the closure business, they are probably a bit low, although you will understand that we can't help but ask ourselves, can we hold some of that gain now that we've gotten it there. So I am not sure we are clear yet whether some of that can be held. But we have to fairly say, this was beyond what we were managing ourselves to. And so in fairness to our business guys, they probably need to have some recovery or balance on whole.
Claudia Shank - JPMorgan: Okay. Thank you very much.
Anthony Allott: Thank you.
Operator: And we'll go next to Alton Stump, Longbow Research.
Alton Stump - Longbow Research: Thank you. Good morning.
Anthony Allott: Good morning, Alton.
Alton Stump - Longbow Research: Good job on the quarter. Not to beat a dead horse here, but just with the buy ahead in metal cans, obviously, you gave some pretty specifics on the cost front as to what the hit was. Any idea as to what the actual top line boost was from that buy ahead in food cans?
Anthony Allott: Well we can tell you that the volume was up a little over 6%. So that's... you can probably get pretty close to it with that.
Alton Stump - Longbow Research: Okay. I think just in terms of what some of your competition has done in food cans in the fourth quarter, it sounds like the overall market was up mid single digit. So within food, was it 1 to 200 basis points? Was it more than that from buy ahead for you guys?
Anthony Allott: I am not sure I am tracking the question. I am giving you the revenue line. If you are talking about the drop through, again, you would have to look at two things. You would look at kind of a normal margin drop through for us. And then we are telling you that there is about $10 million in the quarter that sort of offsets that.
Alton Stump - Longbow Research: Okay. Because what I am trying to get at here was just was the net impact all in. Was it positive or negative from that buy ahead on the profit line, if you have any color?
Anthony Allott: Definitely, it's definitely positive on the profit line. There is no question about that. This is a conversation that has more to do the margins because you're bringing in costs, previous costs of prior periods because you sell the inventory. And so that has more of a margin impact.
Alton Stump - Longbow Research: Okay. Great, thanks guys.
Operator: And we'll go next to Mark Wilde, Deutsche Bank.
Mark Wilde - Deutsche Bank: Good morning.
Anthony Allott: Good morning Mark.
Robert Lewis: Hey Mark.
Mark Wilde - Deutsche Bank: Just first question on the volume outlook for next year. We talked a lot about food volume, but I think Tony in past, you mentioned one area of uncertainty is kind of how the pet food business kind of responds in a downturn; it's nearly 25% of the market. Can you give us any color on what you're seeing there?
Anthony Allott: Yes, well, I mean I'll turn to Adam.
Adam Greenlee: Yes, if you look at our pet food market versus the overall food market that we serve, we are expecting essentially a flat volume versus 2008 for 2009. That market typically does suffer a little more challenge I think as we look at the economy and consumer spending habits. But at this point, we feel good about the brands that we are associated with and the growth they have been brought to us over the last couple of years.
Mark Wilde - Deutsche Bank: Okay. Second, Tony, can you talk at all about where you're going to be putting capital in 09? You said you are going to be at the low end of the normal range. But maybe you could just help us think about what's kind of normal maintenance capital... CapEx for you guys and then what is really discretionary and what you are going to be putting discretionary towards?
Anthony Allott: Okay. It's always... the maintenance question is always out there and we have kind of a standard answer to it, although it's tough to get at. But I would say something like $50 million, give or take a good 10 or 15 around that is what you would probably have to spend just to maintain your business. So we'll call that maintenance. And then so therefore, the rest of that up to the low end of the range would be 110-ish kind of a number will essentially be spread as our capital has been in the past. So there are opportunities in continuing to be in the plastics business for us to pursue certain growth. Likewise, we continued to spend on productivity and cost reduction opportunities in the can business and in the closure business. I think maybe the one difference could be that the... because of what we talked about on single-serve beverage side, that's an area where we've been putting the firm on capital and fueling behind the growth of that segments. It would appear to me right at this moment at least that we can take a breather on that and wait and see how that market plays out.
Mark Wilde - Deutsche Bank: Great. Then the final question I have, you're... from a financial standpoint, you're in some of the best shape that you have ever been in, in terms of just your coverage ratios. If you think about sort of acquisitions, where do you see that the market right now have people's value expectations come down enough do you think?
Robert Lewis: Well Mark, this is Bob. I think the multiple expectations have probably contracted to a point where they are getting at least more reasonable in our view. I think the problem still fits there that the credit markets just aren't cooperative against that. So, I mean could we go out and do a smaller bolt-on acquisition, within our current capacity? Yes. Could we... would we do something that kind of moves the needle against the broader borrowing capacity of the company? That would have to be at a price that obviously takes into account, repricing the entire credit structure of the company. So, I'm not sure that we've necessarily got into value that makes sense relative to that yet. And I think the broader market is there as well, and that's why we haven't seen a whole lot of M&A activity going on in the marketplace. With that said, we do continue to kind of do our work and troll the waters here, more opportunities and we feel like we've got a pretty good pipeline of things that we are talking about internally and externally. And it's a matter of getting some support from the credit markets to be able to get them done.
Mark Wilde - Deutsche Bank: Okay. Very good. Thanks.
Anthony Allott: Thanks Mark.
Operator: And we'll go next to Richard Skidmore, Goldman Sachs.
Richard Skidmore - Goldman Sachs: Just like to thank you. Just a follow-up on Mark's question, with regards to your leverage Bob, where do you think the appropriate leverage ought to be for Silgan? Has it changed in you mind given where we are at? And as you look through the year, is the plan just to take the cash generated through the year or just keep it on the balance sheet?
Robert Lewis: Well, I think generally our view hasn't changed over the long-haul. I think we've said that somewhere in the two and half to three and half times leverage ranges, it's probably appropriate for this company given the cash generating power of it. But in this credit market I think it's a completely different story. And we said before that we are very comfortable being by that definition underlevered for a period of time. I think that's exactly where we sit right now and that will squeeze all of that free cash-flow and hold it to be able to hold cash for against that credit market risk if you will. So, today I don't have anything that would tell me that we should be doing much to lever the company, and I'm comfortable from what I'd said that continuing the whole cash is a prudent thing to do.
Richard Skidmore - Goldman Sachs: Okay. And then just maybe a question on top of that for Tony, how do you weigh the benefits of may be raising the dividend versus conserving the cash and having the leverage come down?
Anthony Allott: Well, I think it's squarely, Bob and I understand camp on that. Right now, we've used expressions let's call like cash is king et cetera. Our feeling right now is that liquidity is critically important. We have been quite successful over a long period of time building this business through the acquisitions. And therefore we think it's pretty important that we would leave ourselves in as flexible posture as we can right now, when the credit markets are in such bad shape. So, we would lean pretty heavily in the near time. I would at least to just kind of holding the powder right now as opposed kind of any sort of major shift on dividend policy.
Robert Lewis: Yes Rick. The other thing I would add to that too is keep in mind that we've got amortization payments to come in due on the term debt. So it's somewhere in the neighborhood of $130 million for 2009. So, a portion of our free cash flow generation will go to pay down that things on amortization payments.
Richard Skidmore - Goldman Sachs: Thanks. Great. Thank you.
Anthony Allott: Great. Thanks.
Operator: We'll go next to George Staphos, Banc of America.
George Staphos - Banc of America: Yes, hi, a follow-on question. Tony, we are seeing that the food companies seem to be getting a benefit of their pricing actions from 2008. And previously they are hopefully getting some belief now on some of their ingredient and other input costs, can price perhaps aside because of what's been going on with tin plate. How do you feel about, generally speaking, the creditworthiness and the ability to operate and market for your larger customers and not say what we have all talked about ad nauseam for the last few quarters, what's going to be a very difficult economic environment? And I had a follow on.
Anthony Allott: Okay. Well if I understood the question right, George, I think that what you say is right. I think if we look at our customers as a group, I think you would have to say that they've faired quite well over the last couple of years. They did get their inflation through as you point out when they had it. They too, to the extent there is trade down of the consumer, they would also stand to benefit from that. So I would say broadly, we would look at our customer base and feel pretty good about it now. It's hard not to bring in the current economic situation. So I'll just say that underneath that, obviously, we are looking closer than we have before at credit risk. We are trying where we can to make modest shifts to the way we do business with some customers. And so we are trying to manage within that context. But I think broadly that we feel pretty good about our customer base, economic position.
George Staphos - Banc of America Securities - Merrill Lynch: Are the smaller packers deteriorating at a quicker rate than perhaps what you saw in the second half or first half of 2008? That presupposes that they are actually having difficulties. So what could you tell us there?
Anthony Allott: Yes, I don't... we have not seen that. I think it's not so much the deterioration of business as a population. I think it's going to be more about do they have credit facilities that are coming due and what's the implication of that. But no, we have not seen anything of late that makes us more concerned than we were a quarter or two ago.
George Staphos - Banc of America Securities - Merrill Lynch: Okay. When will your pricing be ultimately finalized? Historically, end of first quarter was when everything was pretty much set in stone because it had to be given the crops. But when should we expect in 2009 that effectively 95% or more of your pricing activity will have been set for the upcoming year?
Adam Greenlee: I am assuming George, that's a food can question and our food can prices were effective January 1 of 2009. So our food can price increase that we have announced has been implemented and is in the market.
George Staphos - Banc of America Securities - Merrill Lynch: And so that suggests that your tin plate has also been locked in by that point.
Adam Greenlee: That's correct.
George Staphos - Banc of America Securities - Merrill Lynch: Okay. All right, guys, thanks very much. Good luck in the quarter.
Adam Greenlee: Thank you.
Anthony Allott: Thank you.
Operator: (Operator Instructions). And we'll go next to Tim Burns, Cranial Capital.
Tim Burns - Cranial Capital, Inc.: Hi Adam, Bob and Tony.
Anthony Allott: Hey Tim.
Robert Lewis: Hey Tim, how are you?
Tim Burns - Cranial Capital, Inc.: I am pretty good. Now how does it feel as the world goes to hell in a hand basket to be the sturdy company that thrives in this environment?
Anthony Allott: Well it's definitely a little more fun coming to work this year than it was probably five years ago, when we had a new economy versus old economy.
Tim Burns - Cranial Capital, Inc.: Hey, the plastic containers business, well, first on the metal front. Have you seen any conversions to metal as a result of marketing decisions, material displacements or what have you, or is it just kind of more volume of the same mix?
Adam Greenlee: Tim, it's Adam. And I would say we haven't seen that conversion at this point. It really is growth of our existing franchise business and our existing customers.
Tim Burns - Cranial Capital, Inc.: Got you. It's not that easy to convert back, is it?
Anthony Allott: It's not. But it makes perfect sense. It's a superior package. You want me to go on my whole litany about that?
Tim Burns - Cranial Capital, Inc.: No, that's okay. The second thing was the plastic containers business, it looks like, and I could be wrong, adjusted that the year-over-year operating income was up, the margins were up. Now that includes this big hit or positive in the fourth quarter. I mean is that the way you are looking at it?
Anthony Allott: Yes, I think one of the things Adam said is that all that is correct. Some of the benefit in the fourth quarter relates to headwind we had this year.
Tim Burns - Cranial Capital, Inc.: Yes.
Anthony Allott: Some of it relates to headwind from a couple of years prior. So round about kind of half, 50:50, of those numbers. So there is a portion that will become something we have to come up over in 2009 versus 2008.
Tim Burns - Cranial Capital, Inc.: Got you, I got you. Now the core strategy of the business especially on the bottle side I guess was to target consumer products at the higher end when demand for more exotic graphics and turnaround time. Is that still the strategy with people potentially downgrading in terms of the product line? I mean hell, here in Ohio, people aren't taking showers for a month at a time. But what's happening to your business there?
Adam Greenlee: It was a basis of a franchises and custom molding of how we decorated applications for our plastics business. So, that remains the case today. So, we still see the personal care market as a market that once differentiation on the shelf and in many cases the turnover or the lifecycle of those products support the fact that they are willing to pay for that differentiation to some extent. So we haven't seen any change in that as we said here today. What has happened is we've diversified into some other areas, but the core strategy of the business still remains right where it was.
Tim Burns - Cranial Capital, Inc.: Yes, I guess what I am wondering is what's the soup and beans and stuff like that that is in the personal care area that you can target and benefit from?
Anthony Allott: By that, yes, you mean less exotic to use the word. It really for us it's all going to be around rebranding, relaunching, et cetera. So I mean what we're talking about is not... exotic, yes is a wrong word, because it's all in kind of the sweet spot of that marketplace. But what we want to be is the company you got to when you need to do a new decorating, new launch, new shape et cetera. You want to do that quickly. So that kind of fits right in the center of that market. It's just that we're not trying to be the high cavitation, ultimate low costs kind of player to a big product there. That's kind of the differentiation.
Tim Burns - Cranial Capital, Inc.: Got you. And it sounds like you're continuing to make headway on the White Cap or the closures business I should say, maybe small, but more movements and how far can you take that business? And are there plastic tag-alongs as you go?
Anthony Allott: Yes, it's a good question. We are. We are pleased with that businesses so far. The... as we've talked about it, it does have a sizable beverage component to it. So it's got to deal with that. But they have done a superb job of controlling their costs as they have doubled that. And we'll expect them to keep going forward. And yes, it does still have some... we are in the plastic market, mostly in North America. We are very small in the plastic market in Europe. So it does present the opportunity to kind of expand what we do in the plastic side in the European marketplace at least. There could be some other plastic areas around even in our current market of closure that would be of interest. And some of that could lead a little closer to food, which we of course do in the metal side, a fair amount of food, not so much of the plastic side. So as you see, the shift from glass to plastic containers, it'd be very logical for Silgan, is one of the largest food packaging companies out there.
Tim Burns - Cranial Capital, Inc.: Sure.
Anthony Allott: To participate in that.
Tim Burns - Cranial Capital, Inc.: Sure. Okay. And Bob, I was just... there are... I have a couple of ideas. There is a few investment banks for sale. And I don't know if that's something you are interested in?
Robert Lewis: That will quite fit our franchise.
Tim Burns - Cranial Capital, Inc.: Okay. Guys, great quarter and talk to you in a few months.
Anthony Allott: All right, thanks Tim.
Robert Lewis: Thanks Tim.
Tim Burns - Cranial Capital, Inc.: Sure.
Operator: (Operator Instructions). And we'll go next to Mike Sheridan (ph) Cobalt Capital.
Unidentified Analyst: Thanks. My question has been answered already.
Anthony Allott: Great, thank you.
Unidentified Analyst: Thank you.
Operator: And it appears we have no further questions at this time. I would like to turn the call back over to Mr. Miller for any additional or closing remarks.
Malcolm Miller: Thank you everyone. We appreciate your time and we look forward to talking to you after the end of our first quarter.
Operator: And this does conclude today's conference. We thank you for your participation. Have a great day.